Operator: Good day and thank you for standing by. Welcome to the Babcock & Wilcox Q2 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session.  As a reminder, this conference is being recorded. I would now like to hand the conference over to your speaker today, Megan Wilson, Vice President of Investor Relations. Thank you. Please, go ahead. 
Megan Wilson: Thank you, Sadie, and good afternoon, everyone. Welcome to Babcock & Wilcox Enterprises' Second Quarter 2021 Earnings Conference Call. I'm Megan Wilson, Vice President of Investor Relations at B&W. Joining me this afternoon are Kenny Young, B&W's Chairman and Chief Executive Officer; and Louis Salamone, Chief Financial Officer, to discuss our second quarter results. During this call, certain statements we make will be forward-looking. These statements are subject to risks and uncertainties, including those set forth in our Safe Harbor provision for forward-looking statements that can be found at the end of our earnings press release and in our quarterly report on Form 10-Q filed this afternoon and our Form 10-K that is on file with the SEC and provide further detail about the risks related to our business. Additionally, except as required by law, we undertake no obligation to update any forward-looking statements. We also provide non-GAAP information regarding certain of our historical results and supplement the results provided in accordance with GAAP. This information should not be considered superior to or as a substitute for the comparable GAAP measures. A reconciliation of historical non-GAAP measures can be found in our second quarter earnings release published this afternoon and in our company overview presentation filed on Form 8-K this afternoon and posted on the Investor Relations' section of our website at babcock.com. With that, I will turn the call over to Kenny.
Kenny Young: Thanks, Megan. Thanks, everyone, for joining and good afternoon. We're actually pretty excited to be on the call today, discussing our second quarter results. Our results for the second quarter of 2021 really demonstrates the momentum of our strategic direction, including our clean energy initiatives and cost reduction actions and a very strong parts and services platform. This momentum is reflected in our bookings and our increased pipeline, driven by our international expansion and presence, as well as strong demand and new project opportunities for our renewable energy and environmental solutions, including ClimateBright, our decarbonization platform. We achieved another strong quarter of bookings with $168 million in the second quarter of 2021, which is a 100% improvement compared to the second quarter of 2020 and ended the second quarter with $500 million in backlog. Importantly, and keep in mind that generally speaking, our backlog does not include our shorter lead time parts and services. Across all of our segments, we are seeing our proposal and engineering activities increase and are continuing to pursue a robust overall pipeline of now more than $6 billion of identified opportunities through 2024. The launch of our ClimateBright decarbonization platform in May is propelling the development of an exciting pipeline of carbon capture and hydrogen combustion opportunities, as our customers seek solutions to address some of the world's most urgent climate objectives, including carbon dioxide and methane reductions. As we continue to make progress in converting our pipeline to bookings, we are progressing and anticipate booking three to five renewable energy new-build projects in 2021. We're reaffirming our previously stated target of $70 million to $80 million of adjusted EBITDA in 2021, based on our current visibility and our second quarter performance reflects our steady progress to achieve our EBITDA targets with consolidated adjusted EBITDA of $15.1 million, which aligns with our internal expectations for 2021. This is a seven-fold improvement compared to the second quarter of 2020 and a 78% increase compared to the first quarter of 2021. As we previously indicated, our normal cyclical performance typically shows increasing profitability from Q1 to Q4 each year and we anticipate Q4 will be our strongest quarter of this year, based on anticipated or forecasted bookings. We also closed a new four-year senior financing agreement at June, which further demonstrates the confidence our lenders and shareholders have in our growth strategy. The reduction of our total secured debt by over $347 million in 2021 and our improved capital structure have positioned us to grow across all segments as we invest in our ClimateBright technology platform, pursue innovative technology agreements, such as our recent exclusive long-term energy storage license option with the US Department of Energy and continue to evaluate potential acquisition opportunities. Turning back to our ClimateBright technologies platform, we are excited about the suite of revolutionary decarbonization technologies designed to help utilities and industry aggressively combat greenhouse gas emissions and climate change. Through advanced research and development combined with joint efforts with US Department of Energy and various universities B&W has unparalleled experience in clean energy solutions backed by more than 90 active patents for carbon capture alone and has the expertise and technology to lead the world's next industrial revolution towards a zero-carbon future. Our ClimateBright solutions include, for example, our breakthrough BrightLoop technology to produce hydrogen, steam or syngas from a variety of fuels or feedstocks, while isolating CO2 for capture or for other industrial purposes. This includes the production of green hydrogen, while simultaneously isolating CO2. This technology does not have the same overhead or parasitic load requirements as other carbon capture technologies, which results in a higher efficiency that expands B&W's industrial presence. This technology has the potential to change how industries worldwide use combustion technology. Our SolveBright regenerable solvent technology, which is designed to deliver economical and efficient carbon capture across a range of industries, SolveBright is our post-combustion carbon capture technology and can be applied to a wide range of industrial or utility boiler technologies to capture CO2. Our OxyBright combustion process, which is a solution for CO2 isolation and sequestration applications for industrial and power generation facilities and uses an innovative integration of pure oxygen to produce sequestration-ready CO2. And lastly, our BrightGen, our hydrogen combustion technology, which is currently in operation in multiple refineries and industrial facilities around the world and provides zero-carbon energy generation. We are currently working on close to 20 potential ClimateBright projects to determine the best carbon capture solution based on customer-specific needs. And as I said, greater than our expectations we anticipate booking ClimateBright projects in the coming months. Finally, we are continuing to explore a significant number of attractive targets for investments or acquisitions in both emerging, technology and mature markets. Currently, multiple investments or acquisition opportunities are in advanced due diligence phases, including three renewable or emerging technology opportunities that are in exclusive negotiations. In addition to opportunities within emerging technology markets, we continue to explore acquisition opportunities within the thermal services sector with a potential to achieve immediate synergies and higher margins leveraging the strength of our experienced management team. We remain dedicated to increasing shareholder value through both organic and inorganic growth, while driving a worldwide transformation to a green environmental future. Let me turn the call over to Lou now to discuss a few of our financials for Q2 of 2021. Lou? 
Louis Salamone: Thanks Kenny. Our second quarter consolidated revenues were $202.9 million. This is a 50% improvement compared to the second quarter of 2020, primarily due to higher level of construction activity in the quarter. This improvement in revenue was realized even though revenues continue to be and all of our segments continue to be adversely affected by COVID-19, as customers delayed projects and travel restrictions limited the ability for the company's workforce to be at job sites. Our GAAP operating income in the second quarter of 2021 improved to an operating income of $2.8 million, inclusive of restructuring and settlement costs and advisory fees of $6.9 million. This is compared to an operating loss of $7.7 million in the second quarter of 2020. Adjusted EBITDA was $15.1 million compared to $1.7 million in the second quarter of 2020. The improvement was primarily due to higher construction volume, improved project execution, and continued positive impact of the benefits of our overhead and G&A reductions, as well as other cost savings and restructuring initiatives. Turning to our cash flow, balance sheet, and liquidity. Cash flow from operations in the second quarter of 2021 was a use of $32.1 million in cash. As previously disclosed on May 7th, 2021, we closed an underwritten registered public offering of four million shares of 7.75% Series A cumulative perpetual preferred stock at an offering price of $25 a share. The offering resulted in net proceeds of approximately $95.7 million after deducting underwriting discounts and commissions but before expenses. Additionally, on May 26th, 2021, we completed the sale of over 400,000 shares of preferred stock at an offering price of $25 per share for net proceeds of approximately $10.7 million after deducting underwriting fees. As previously disclosed on June 1, 2021, we entered into an agreement with B. Riley for the exchange of approximately $73 million of our existing term loans with B. Riley for 2.9 million shares of preferred stock. As Kenny mentioned earlier, we closed a new 4-year revolving credit agreement with PNC Bank on June 30th, 2021, under which PNC has provided a $50 million asset-based revolving credit facility as well as a Letter of Credit Agreement with PNC which includes the issuance of up to $125 million in letters of credit, secured in part by cash collateral provided by an affiliate of MSD Partners. The agreements have a maturity date of June 30th, 2025. All obligations under our prior credit agreement have been discharged and the agreement has been terminated. Approximately $9 million in deferred fees under the prior credit agreement have been waived due to our successful refinancing completed prior to July 2021. We ended the quarter with total gross debt of $170.9 million and cash, cash equivalents, and restricted cash of $143.6 million. This significantly reduces our net leverage to 0.41 times the last 12 months adjusted EBITDA. Net interest expense for the quarter was $7.9 million as compared to $15.3 million in the prior year quarter with, the decrease primarily driven by the reduction of our total debt, the reduction of the rate on our last out term loans, and the rates secured on our senior notes issued during the public common stock and senior notes offerings in February of this year. Looking forward, we expect our interest expense to be further reduced due to the benefit of a full quarter of reduced debt levels. The common stock, preferred stock, and senior note offerings we completed earlier this year serve to reduce our total secured debt by more than $347 million. Turning to our cost savings initiatives. In addition to the $133 million of cost savings initiatives previously disclosed, we've implemented approximately $4 million of additional cost savings in the second quarter of 2021 for a total of $137 million of savings. We expect to implement an incremental $5 million of cost savings actions during the remainder of 2021. These initiatives reflect the strength of our management team and our commitment to improve EBITDA margins, which we are targeting to reach 10% to 12% over the next few years. We're continuing to target adjusted EBITDA of $70 million to $80 million in 2021 based on our current assumptions and impact and the -- about the impacts of COVID and supported by the continued momentum of our financial performance in the second quarter of 2021. Despite the adverse effect of COVID-19 on all of our business segments we achieved significant year-over-year improvements in revenue, net income, and adjusted EBITDA. We're beginning to see the impact of previously deferred projects resuming with strong bookings and a higher level of construction activity in the first half of 2021. As Kenny noted, our normal cyclical performance typically displays increased profitability from Q1 to Q4 each year. We've demonstrated this momentum in the second quarter of 2021 with a 78% increase in EBITDA as compared to the prior quarter. The strong performance in the first half of this year provides a solid foundation for growth, organically and inorganically and positions us to achieve our full year adjusted EBITDA targets. I'll now turn it back over to Kenny.
Kenny Young: Lou, thanks. Well in closing, our ongoing strategic growth initiatives including expanding internationally, implementing additional cost saving initiatives that Lou mentioned, launching our ClimateBright platform and significantly reducing our secured debt are propelling our much improved financial results. Our strong performance in the second quarter of 2021 was another solid quarter of bookings demonstrates our steady progress towards achieving our adjusted EBITDA targets. Our capital structure improvements have positioned us to further invest in our clean energy growth initiatives and take advantage of inorganic opportunities within both mature and emerging technologies. Our acquisition efforts are progressing as we move into advanced due diligence phases on three renewable or emerging technology opportunities that are in exclusive negotiations and we continue to further evaluate opportunities within mature technologies. Our more than $6 billion in pipeline through 2024 is building as the demand for our technology increases and we see new opportunities emerging across our ClimateBright projects and renewable new-build opportunities. Looking forward, we remain dedicated to increasing shareholder value and shareholder returns as we continue executing our long-term plans to profitably grow our Renewable Environmental and Thermal segments. So with that, I'll turn the call back over to Sadie and we'll open up and answer a few of your questions. Thanks everyone.
Operator:  For our first question, we have Rob Brown from Lake Street Capital. Rob, your line is open.
Rob Brown: Good afternoon.
Kenny Young: Hey, Rob.
Rob Brown: First question is on the renewable projects you talked about I think you said three projects that are in the pipeline moving forward. Give us a sense of sort of the revenue levels on those and how those rollout or the time line when you think those could close?
Kenny Young: Those would -- typically we've talked about renewable energy plans -- our new-build projects and opportunities are going to range. They're going to vary from on the low-end let's just call it $30 million $35 million on the high-end they could go up to $75 million or $80 million typically for us on core technologies. It depends on the full scope on a few of those projects some could be a little lower than some could even be higher in those scenarios. But the -- we're obviously well into discussions on those projects and had anticipated those closing a little bit earlier. Obviously, COVID still plays a worldwide impact on moving people in and out of countries working with local governments on permits and other aspects. But we see all of that opening up and breaking through at this point and feel confident enough in our projects and where we are in those to be able to at least give you some indication of where we're thinking about the business. So I wanted to make sure that we got that out. But -- I don't know if that helps, but that's how we think about it Rob.
Rob Brown: Got it. That's very helpful. Thank you. And then on your ClimateBright projects, I think you said there are a few that are moving along. What markets are you seeing the activity on in those projects or is it sort of diversified across your customer or global footprint? 
Kenny Young: It is diversified which is great. I mean, it's -- the ClimateBright aspect and the inbound interest is really exceeding our expectations and where we thought that business would be. A lot of that obviously is being driven by the environmental aspects on a global basis. Obviously probably everybody on the call has read some of the recent UN reports that were put out on environmental issues. But it is diversified. We're seeing opportunities in -- across our biomass and waste-to-energy opportunities, but also in oil and gas, petrochemical food processing a wide variety of industrial needs around that. And covering actually those opportunities cover all of our platforms across the board. So it's exciting to see some of the early interest in those technologies from our standpoint. Obviously, there's still some things that we need to do to prevent some of the conceptual aspects around those technologies but we're building up a pipeline of opportunities working through engineering studies in most cases to be able to provide details around how we would implement those technologies for the clients. And more importantly, probably specifically, which technologies we should be using for those various opportunities. But it is diversified both in industry types as well as geography as well. Some here in the US, some in Europe, some in Southeast Asia and other parts. So it's exciting for us to see that interest in inbound demand. And we're also looking at right now increasing resources inside the company and some engineering resources to support that growth and are really excited to do so.
Rob Brown: Okay. Great. Thank you. I’ll turn it over.
Kenny Young: Thanks, Rob.
Operator: For our next question, we have Brent Thielman from D.A. Davidson. Brent, your line is open.
Brent Thielman: Hey, thank you. Good evening. I guess first question would just be on the guidance with respect to the seasonality of the business and how it ramps through the year. Just trying to get a sense of how much visibility the backlog or even the pipeline gives you today into that back half of the year versus what you've got to pick up in terms of shorter lead time work as you move through the rest of the year. Any help there would be great.
Kenny Young: Good question. So as we indicated on the call, obviously and as you picked up on our revenues and performance are always cyclical from Q1 to Q4, with Q4 being always the highest, Q1 being below it. So this year will be no exception to that. We are – as we stated our parts and services business which is not in our backlog is performing very strong. This year I think we've seen a rebound of that platform back to very strong levels of revenues. Obviously, it's a higher-margin business for us as well too, so that's very much positive. At the same time and as we're giving some indication on the call, which is I think a little unique but we wanted to give as much transparency as we could to state that we are seeing these projects come to fruition and confident that we're going to have these new build project bookings this year. And hopefully, some of those will be announced sooner rather than later. But obviously the – we're well in negotiations discussions and contracts and limited notices and other aspects around those projects so we wouldn't have made that statement out there. So the combination of our pipeline we know what projects are coming, we know what bookings are – we anticipate getting in and around that and plus the strength of the parts and services in that platform give us a lot of confidence to reiterate our support of those targets. And here we are mid-year obviously, making those the statements. So I hope that kind of paints the picture of how we think about it. But the combination of all three of those give us confidence going into this year finishing it out very strongly and going into next year very strongly as well too. But clearly, Q4 will be higher than Q3 without a doubt. And based on where we see the bookings coming from and the timing of those bookings and where we are against all of that.
Brent Thielman: Okay. I appreciate that Kenny. And I guess the next question was on ClimateBright and some of the other newer technologies that you've introduced. Did those begin to become pretty impactful as we get towards the end of the year or do you look at these as still a bit early on and these should be bigger opportunities as we move into 2022 and beyond?
Kenny Young: We are – I think without a doubt I think as we go into 2022 and beyond, we'll see more and more and bigger opportunities there. The demand for this is starting to pick up. Having said that, we are in discussions on a few projects that are sizable within our ClimateBright platform that could have meaningful impacts maybe probably – I'm sorry not so much this year just because of the timing of booking those projects but clearly going into next year. But we're looking for possible bookings on a few sizable projects even yet this year. So we're working through a lot of details associated with those and engineering studies and other aspects associated with those. But I would say the interest level on our ClimateBright has been better than we anticipated in a very short period of time. And – so we're pretty excited about that. Obviously, we're trying to ramp up other aspects around that to support that demand. And obviously, we're very confident that we'll be able to do that. But I think next year will be a bigger year and obviously the following years will be a bigger year. When we -- we talked a lot about BrightLoop, which I'm personally very excited about but BrightLoop we think is -- has the potential to be a real game-changing technology within the combustion processes inside industries. And really give us a bigger if you will addressable market inside the industrial areas where that BrightLoop technology could actually perform a lot of different functions that are -- let's just say our former combustion or boiler technologies wouldn't be able to inside those industrial areas. And we're seeing that unfold in some of the discussions and engineering aspects that we're underway with right now. But it does have a very strong potential. I mean just the fact that from a global perspective getting CO2 reductions in this global greenhouse gas approach reduced over the next 15 years, 20 years we're launching a technology now that has the ability to capture on a pure stream CO2, but provide all of the necessary heat elements to drive energy or other further industrial processes with a limit a really non-loss through efficiency of that particular plant. And that's really important. So this is new technology that we're launching out there that could replace or potentially replace some of the other technologies that capture CO2 accordingly and should be -- become a real game changer out there. So a lot of effort on our part is focused on that getting that out on a global basis. And so far the technology studies and feedback that we're getting from our customers have been very supportive and we do look for that to really take off sometime next year to become a lot more meaningful in our revenue aspects as well. But BrightLoop is just one part of our platform. Oxy combustion, SolveBright and others are equal position in the marketplace. Some of those are more applicable to older technologies that exist or boiler technologies that exist which will be in demand obviously as the need to reduce CO2 will continue to grow. So we have a wide variety and a big platform and so we're pretty excited about getting that out there. 
Brent Thielman: Okay. That's great. Maybe last one just expectations for cash flow either operating cash flow or free cash flow in the back half of the year. And I guess any thoughts on all the commentary out there about supply chain disruptions is that a hindrance to the business and profitability or just negligible at this point? 
Kenny Young: It's negligible at this point. Clearly, the supply chain on a global basis is something we have to watch and focus on especially as we build the -- design and build out these technologies obviously the various raw materials that are used to make that happen. There's a lot of fluctuation that's been in the marketplace on those raw materials i.e. steel for example. So those are all things that we view we have to pay attention to but we've taken a lot of steps to try to minimize any impacts from that. Obviously, not a perfect world or perfect science, but we have taken a lot of impacts there. But it's something that we keep close eye on. The technology side as far as the semiconductor and other aspects that you read about often in the global supply chain are not big impacts for us. It's more in the raw materials around steel and steel fabrication and other components. But Lou actually do you have anything you want to add on the cash flows?
Louis Salamone: Yes. On the cash flows we should start turning positive. Most of that $32 million in this quarter was the result of interest payments. And as we said in the release those will be decreasing with the decreased debt. We also had a pickup of where we had a customer that gave us a large advanced payment. In the first quarter that was worked off so that was part of the other reason. And then finally, we had in the first half of the year the pension payment that we had to make and, which now puts us in a position where we're on a minimum funding basis our pension is fully funded. So we expect that cash flow to start turning positive as the year continues.
Brent Thielman: Okay. Thank you. Best of luck.
Louis Salamone: Thank you.
Kenny Young: Thank you.
Operator: For our next question we have Alex Rygiel from B. Riley. Alex, your line is open.
Alex Rygiel: Thank you, and very nice quarter, gentlemen. A couple of quick questions here. First, the climate opportunities sound very exciting, but your thermal revenue in the quarter was incredibly strong. So maybe you could comment a little bit more on thermal in the quarter. And then your environmental EBITDA's of 9.7% margin was also attractively strong – strongest in a couple of years, maybe you could comment on the success in that business line?
Kenny Young: Yeah. So the – on the thermal side, which – Alex what will be interesting about our business obviously in any given quarter, there'll be ebbs and flows on this. We still see the pipeline trend and the long-term trend that two-thirds of our revenue over the next few years is going to come from renewal and environmental, which is the new-build projects that we have in the pipeline and those that we're in – very actively engaged to book will drive that without a doubt. But any given quarter, we'll see ebb and flows on that piece. Thermal was a strong quarter for us in Q2 as we were actually in the deep process on the construction side mainly in the US doing some upgrades and enhancements on some older technologies that needed to be completed in that time period. So we had some increased uplift from revenues from those projects out there. But again, those will ebb and flow each quarter, up and down on that piece of it, but that was this quarter actually just picked up a significant amount of that revenue. And so we saw some of that project lumpiness impact us in Q2 on the thermal side in a good way. But yeah, the – in the environmental aspect, we're seeing not only in the ClimateBright aspect, but even in our core environmental technologies, a lot more opportunities out there in our SGCs on our ACQS, some of our flue gas and emission technologies right now, we do see a number of those projects that are unfolding and anticipate making more announcements here this year on those. And so we see a good path right now on the environmental side as well. 
Alex Rygiel: And then as it relates to your EBITDA guidance for this year, can you talk about some of the variables that could take you to either the high end or the low end of that range?
Kenny Young: Yeah. No, good question. It's a lot of – obviously, the parts and services business continues to perform at anticipated and expected rates for us. We do anticipate that continuing throughout the rest of the year, and that's been a positive this year. We're moving back to more of a normal outage period in the fall in the spring. The fall will be one of the first falls. We didn't have really a fall outage period last year, because of COVID. So we see that returning back. Those outage periods worldwide is – is where we pick up a lot of parts and other aspects on performing services during this period. So you'll see that continue. We are seeing some improvements modest as they are on renewable parts and services as we get – provide more focus around that particular area as well. And so that – as long as that continues to perform, which we fully anticipate it will, then the key other variable piece is really around the timing of these larger new build bookings, and when we can recognize revenue against those bookings. So when they – if they're delayed one week or two or three, because of various things that naturally would delay those, then that's just revenue that gets delayed out. So we – it's really around the timing of getting those booking in the door and those projects started and executed, so that we can start to recognize revenue on those projects. And we're obviously doing the best we can to speed up those projects, and get those announced and get those projects started that are out there. But that's always the impact, I think to our business is the timing around those new projects. And if more of them get shifted towards the end of Q3 versus earlier than Q3 then it's – you lose a couple of months of revenue. If we could ship them earlier, and begin to recognize more revenue, or get more costs associated with those projects, which allows us to recognize the margin and the revenue, then you potentially could have a better year. So that's the variable aspect, I think that we have to always focus on from a project standpoint is the timing of those, and how much cost we can recognize on those projects in any given period so.
Louis Salamone: Yeah. I think the other thing to consider, Alex is there's always, the idea of mix where construction as we've talked about before has a lower gross margin than we have in our parts, and certain of our service businesses. In the second quarter, you saw a little bit of that show up, because we had as Kenny talked about a very large construction project that came in, and practically closed out. So we had a very good close out on that, but that margin is still less than your margin on your parts business. So, you see a little – you saw a little diminution in that but it was really due to mix and we continue to see improvement in the margins going forward.
Alex Rygiel: And then lastly, can you comment on some geographic strengths and weaknesses and any hindrance from the Delta variant? 
Kenny Young: The difficulty part in the Delta variant right now is just the travel aspects, which adds a little bit of time here and there which -- so the UK right now is a little bit more restrictive on getting in and out and getting from the UK into other parts of Europe right now, is restricted for example on getting in and out. And those impacts on workforce outside of B&W but even governmental workforce and other aspects. So where -- hypothetically where you need a permit or something to begin a certain site work that would normally take two days to get, now it takes 10 days because of resources locally that just aren't there. So those are always the little things you run into, I think with COVID is some of those delays. But the -- India right now is a very difficult site. Australia still has reduced their inbound travel flow into those particular areas. The good news for us, is we've really ramped up more and more resources locally in these geographies. So that's really helped this year especially on some of the stronger aspects in our pipeline, in renewable and in other areas in the Asia market, Australia for example Taiwan, some of those areas even in Southeast Asia perhaps even China. We have a better presence in those areas. And so the opportunities are a little easier for us to respond to and move forward because of that increased international presence where the company didn't have that on historical basis. So that helps us well too. But the COVID aspect right now is just the -- overall it's just that little dimension effect things take a little bit longer to get accomplished just because of the human aspect of COVID and some of the impacts it has overall. But that's -- I don't know Lou, give your thoughts but that's the best way I'd describe it.
Louis Salamone: No. I think you've described it pretty well, Kenny. We see the impacts varying around the world and we just keep monitoring it.
Alex Rygiel: Very helpful. Thank you very much.
Kenny Young: Yes. Thanks, Alex.
Operator: For our next question we have Ron Travis, a private investor. Ron, your line is open. 
Unidentified Analyst: Good afternoon.
Kenny Young: Hey, Ron
Unidentified Analyst: You talked specifically about acquisition opportunities, do you want to comment further about that? 
Kenny Young: I wouldn't get into obviously, who they are or what they do. We are in exclusivity on three today. We -- let me back up I guess to clarify a few points here. The company has always been active and we've increased our M&A approach obviously, as we previously announced, to acquire and looking at companies that do either one of two things. One, where we have immediate synergies that we can build on and those are typically going to be more in mature markets and/or services or local services in different markets worldwide. It could be in North America, Europe and Asia. Some of those are in new technologies or new type of technologies, especially in the renewable and in the environmental sector that we think augments our platform, those that we can grow and increase their market presence through either our customer presence or our worldwide positioning on those technologies and that's exciting as well too. Some of those are unique, what we -- I would view and describe more as longer-term capabilities from a technology standpoint. So technology that would help improve let's say our ClimateBright platform, but may not be material on revenues for a few years but it is an early easy way for us to broaden and strengthen either our technology or patent portfolio. So we do look at all of those in that respect. On the renewable and environmental, we want those to be growth strategies for us, whether that's a little in 2021 or whether that's in 2022 or 2023 and beyond. But we clearly, are looking at those as long-term growth aspects while we also look at others from a synergy and cash flows from an immediate perspective. So we try to balance those as we look at them and we're not at a position to announce anything at this point but we are evaluating some. We obviously, are being specific about where and what we're focused on in these areas. And hopefully we'll get one or two of these across the goal line here soon.
Unidentified Analyst: Are these more bolt-on acquisitions or focused more on the future?
Kenny Young: I would say, a little bit of both, Ron. And the ones that -- we mentioned we have three under exclusivity. But I would say, two of those are more -- have revenue growth opportunities now, when I say, now over the next 12 months. And others are bolt-on, meaning, they provide some synergies and capabilities in our core technologies that we wouldn't have had or didn't have before, but there's still a little bit of both. 
Unidentified Analyst: With respect to ClimateBright that you did not announce any capability for next year, do you expect that to be significant going forward next year?
Kenny Young: Clearly has a strong potential to be -- to do that very thing. I think, I mentioned we are -- we have some active projects that are sizable in ClimateBright and those will -- those projects will obviously go -- hopefully, we get those booked this year, a few of them booked this year. But they'll have meaningful impact next year obviously as those are -- the projects -- some of those projects are going to take several months to implement. So those revenues will have more meaning as we book those and those roll out into 2022. But that -- I think we mentioned on the call that we've got 20-some-odd projects that we're actively involved in right now, six months ago we had two. So it's -- those are sizable projects. They do range from the small-end to high-end and $5 million some of those could be up to $70 million to $100 million. But those projects will be more meaningful next year, and I think we'll see our pipeline there increase for the rest of this year and going into next year as well.
Unidentified Analyst: These will be more tightly managed than previous difficulties?
Kenny Young: No. Of course. 
Unidentified Analyst: Okay. Thank you.
Kenny Young: Thanks, Ron.
Operator: There are no further questions at this time. I would now like to turn the call over back to Megan Wilson for closing remarks.
Megan Wilson: Thank you for joining us. That concludes our conference call. A replay will be available for a limited time on our website later today.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.